Operator: Good day, ladies and gentlemen, and welcome to the Shutterstock, Inc. fourth quarter 2017 earnings conference call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will be given at that time. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to turn the conference over to your host Mr. Michael Mestrandrea, Director of Corporate Finance and Investor Relations. Sir you may begin.
Michael Mestrandrea : Thank you, operator. Good morning, everyone, and thank you for joining us for Shutterstock's fourth quarter and full year 2017 earnings call. Joining me today is Jon Oringer, our Founder, Chief Executive Officer and Chairman; and Steven Berns, our Chief Operating Officer and Financial Officer. During this call, management may make forward-looking statements that are subject to risk, uncertainty, including predictions, expectations, estimates and other information. These include statements relating to long term effects of our investment in our business, the future success and financial impact to new and existing product offerings, our future growth and profitability, our long term strategy, growth potential, future results of efforts to reduce our expense footprint and implementation of large scale business solutions, new recognition rules and 2018 guidance. Our actual results may differ materially from the results predicted and reported results should not be considered as an indication of future performance. Please refer to today's press release and the reports and documents we file from time-to-time with the U.S. Securities and Exchange Commission, including the section entitled Risk Factors in the company's annual report on Form 10-K the year ended December 31, 2017, for discussions of important risk factors that could cause actual results to differ materially from those discussed in any forward-looking statements we may make on this call. On this call, we refer to adjusted EBITDA, adjusted net income, revenue growth on a constant currency basis and free cash flow which are non-GAAP financial measures. You can find a description of these items along with the reconciliation of most directly comparable GAAP financial measures in today's earnings release and in our Form 10-K, which are posted on our Investor Relations site. We believe that the uses of the measures in conjunction with GAAP financial measures allows investors to consider our operating results on the same basis used by management. This provides them with an important additional insight about the company's overall business and operating performance, and it enhances the comparability in assessing our financial reporting. However, these non-GAAP measures should not be considered as a substitute for or superior to financial information prepared in accordance with GAAP. And with that, I’d like to turn the call over to Jon.
Jonathan Oringer : Thanks, Mike. Thanks everyone for joining us today for Shutterstock's fourth quarter and year end 2017 earnings call. We continue to make solid progress in the evolution of our business from a marketplace to accretive platform. We’re seeing continued operational momentum from our many initiatives including our upgraded technology platform, the transformation of our operating structure to focus business units and the introduction of new products, features and functionality for our customers. In addition we continue to build and strengthen our team every day. Overall I am pleased with the improvement in our revenue performance in the fourth quarter. Although margins this quarter and for the full year were impacted by the infrastructure and platform investments we have made in our business. We’re confident these critical investments will have a long term positive impact on our financial results. Also while being an important long-term investment we look forward to see some of this positive impact in 2018. In the fourth quarter of 2017 on a constant currency basis revenue grew approximately 12.6%, compared to the fourth quarter of 2016 and adjusted EBITDA was $23.3 million compared to $25.9 million in 2016. In addition on a year-over-year basis during the fourth quarter of 2017, our customer base grew by 9.5% to just over $1.8 million customers. Paid downloads increased by 4% to 43.9 million, we grew revenue per download by 7% on a constant currency basis and we expanded our image library by 46%. So over 170 million images and increased our video library by 47% to more than 9 million clips. As we discussed on prior calls over the last few years we made investment that we believe transforms our marketplace into a platform that provides and enterprises, with the content types and tools they need to collaboratively design and build creative projects. While these investments have impacted our short-term profitability, we’ve already begun to see positive tangible results in the form of user growth and retention, and expect to continue to benefit from these investments over the long-term. In 2017, we achieved several important objectives more than 1.8 million active paying customers contributed to our revenue in 2017, and more than 350,000 approved contributors made their content available on our platform. By the end of 2017, we had more than 170 million images and 9 million video clips available for license. Across our products, as we continue to focus on our customers’ workflow. We launched several feature to increase engagement. We now track and test many parts of our customer experience and at times can be running many AB test simultaneously. These test measure impact to life time value, product mix, order value, download success and engagements, and the winning experiments get pushed live into production. We successfully migrated our public API to our new code [ph] base, and continue to evolve our platform for other business to directly integrate. HubSpot and Google Slides are examples of the many partners that started to use our API in 2017. We plan to continue to invest in making sure our images are available in business applications everywhere. And you can see the API developer documentation for yourself, at developer.shutterstock.com. We continue to attract amazing content through both our user generated collection, and new agreements with companies such as the World Surf League and the Associated Press. We continue to innovate our machine learning and artificial intelligence algorithms that are becoming an important part of our platform. Our prototype of composition aware search is just one-way, which is helping our customers find images in new and unique way. These advance search capabilities of our nearly 180 million images, combined with our editor tool, enables customer to fully produce the creative content they need. We acquired Flashstock and rebranded Shutterstock custom, launching our custom content platform for our enterprise customers. And for our music offering, we launched our new premium beat website, as well as a mobile app, which enables on the go music discovery. As we transitioned from stock image marketplace to a global creative platform, we continue to remain laser focus on implementing our strategy around building a robust platform, enhancing the network effects exhibit throughout our product, and tracking and retaining talent that enable the successful execution of our business strategy. This means providing our customers with compelling content and innovative tools that sit at the heart of our customers’ workflow, and facilitate a seamless process for our growing contributor network. In our e-commerce image business, we’re seeing solid customer growth, and our focus continues to be on offering the right pricing and packaging to our customer, while optimizing our customer acquisition funnel. Throughout 2017, we were able to drive improvements in both product mix and customer retention. We’ve ramped up AB testing significantly, beginning in the second quarter of 2017, and have progressed on personalization efforts. This has yielded significant improvements in our user experience and enhanced our ability to track new customers. Importantly, while making these improvements in our e-commerce image business, we’ve also been able to drive down marketing cost per acquisition, as compared to 2016 and early 2017. Within our motion offering, we’ve begun simplifying our pricing structure for video and continue to make progress in building out the portfolio of products. This includes RocketStock, which produces original state-of-the-art video pack, industry leading video effect elements, and high quality after effect templates, which includes lower search and title sequences. In December, we made great strides with our premium B product offering. We launched our first music mobile experience for video producers, editors and film makers. The new application allows access to the full collection of editors, I’m sorry -- the new application allows access to the full collection of exclusive, high quality tracks on premiumbeat.com from any device. We also introduced the design overall and new discovery functionality to the premiumbeat.com site. For enterprise business, we continue to build our geographic presence and expand usage of video, music and editorial content. We’re getting very strong and positive feedback from our customers who are increasingly making multi-product purchases across content types. Revenue generated by our enterprise business grew 26% year-over-year in the fourth quarter, and represented approximately 34% of our total revenue, compared to 32% in the fourth quarter of 2016. In editorial, we continue to cover fantastic events including the Victoria Secret Fashion Show in Shanghai and on-set photography for some of UK’s biggest TV shows. During the year we covered 4,000 entertainment events and about 2,400 sports events. You may have noticed our editorial images are now visible on our e-commerce website and while today we don’t have a full editorial offering on our e-commerce -- while today we have a full editorial offering our enterprise platform we only get half of the product on the e-commerce site, but expect to launch a self-service editorial product in the near future. While our sports, entertainment and news content is in its early stages [Technical Difficulty] product in new customer friendly ways and we’ll continue to invest in the area. [indiscernible] adoption in Shutterstock is going well and we’re very [Technical Difficulty] listen to feedback from customers. As I noted last quarter we believe Custom is a large long term opportunity for us and that we’re well positioned to significantly add to our contributor communities that Custom has today. In summary, this was a solid quarter and year for our business. We continue to make progress by focusing on our tech platform, new products and launching features and functionality for our growing customer base. Additionally the strength and the talent joining Shutterstock makes me excited for what we’ll build in 2018 and beyond. Lastly, as Steven will discuss in greater detail, we had two strategic transaction to-date in 2018. First, we made a strategic investment in Zcool, our exclusive distributor in China to further expand and enhance our reach in the Greater China region. Second, we entered into an agreement to sell Webdam, a digital asset management business that we acquired in early 2014 for a purchase price of $14.4 million. Our sale price of Webdam is $49.1 million. The Webdam business was never closely integrated into Shutterstock like our other acquisitions and over the years as we try to integrate Webdam we realized that integration wouldn’t have been as productive as we had initially anticipated. Since the customer base is more distinct than we had originally thought. Ultimately we found the right place for Webdam to grow and the price was right for us to sell to Bynder. We know that Bynder is the right home for Webdam and we also win with a solid return on investment for our shareholders. And with, that I’ll turn the call over to Steven, who will provide more detailed overview of our operations and financial performance.
Steven Berns: Thanks, Jon and thank you everyone for joining us today. Before I discuss our performance I want to let you know that we posted a brief information deck on our website that contains supporting materials for today’s call. As Jon has highlighted Shutterstock continued to execute against our strategic vision throughout the fourth quarter translating into revenue growth on a reported basis of 16.6% and an adjusted EBITDA margin of 15.3%. On a constant currency basis as compared to the prior year fourth quarter revenue growth was 13.9%. As compared to the prior year fourth quarter we saw revenue per download increased 11% on a reported basis and 8% on a constant currency basis driven by the continued growth in our enterprise and motion businesses, as well as a continued shift in our e-commerce image offerings toward our smaller subscription plans, which were sold for higher price per image rates than our traditional larger subscriptions. Revenues generated by our e-commerce platform improved 10% as compared to the prior year fourth quarter as we’re continuing to see positive results from improved focus on product mix and improved optimization of our conversion funnel. Our enterprise business grew 26% compared to the prior year fourth quarter to approximately $52 million. International expansion and localization continues to be a core part of our long-term growth strategy and in the fourth quarter of 2017 of the approximately 62% of our revenues from customers outside the United States approximately half of that 62% was derived from customers in Europe with the balance from Asia Pacific and Latin America. Shifting to the cost side of the business, for the fourth quarter of 2017 operating expenses increased 24% versus the fourth quarter of 2016. Driven primarily by investments we’re making in both our infrastructure and our smaller but high growth high potential businesses. Sales and marketing spending as a percentage of revenue remains consistent with the prior year and the third quarter of 2017. Before I speak to the quarterly expenses in more detail, let me note a few full year comparison points that are worth mentioning. Revenue versus prior year improved by 12.7%, driven by enterprise and e-commerce, expenses excluding stock-based compensation increased 20% primarily, reflecting staff related and sales and marketing cost. For the full year 2017, adjusted EBITDA was $88 million, representing a 15.8% margin, compared to 19.3%, in 2016. Going back now to the quarterly expenses, as I noted during our last call, we’ve taken and continue to take actions to reduce the growth of our expenses, this is an on-going exercise that we believe will yield results in 2018. In the fourth quarter of 2017, we saw contributor royalty expense of approximately 27% of revenue, which is unchanged from the third quarter of 2017. I’ll now discuss some of the major expense categories. For each category, I discuss my comments and the amounts reference will exclude stock-based compensation. Our sales and marketing expense increased 19% versus the fourth quarter a year ago. This spend is split equally between the sum of brand and performance marketing and the cost of our enterprise sales organisation. Overall, our return on investment on this spend is healthy and remains consistent with our historical results. Product development cost increased 28% in the fourth quarter of 2017, versus the fourth quarter of last year, primarily due to higher personnel and consulting cost relating to our building of a more expensive customer platform. General and administrative expenses increased by 63% versus the fourth quarter of last year, driven primarily by higher personnel cost and consulting expenses related to our implementations of several large scale business solutions, which we believe, will enhance the organization’s operational efficiency. It’s worth noting that these expenses are 9% lower than the third quarter of 2017. As a result of the new U.S. enacted law, referred to as the Tax Cuts and Jobs Act, the company recorded a non-cash charge of $3.7 million, related to the remeasurement of our deferred taxes, to account for the new statutory rate of 21%. In addition, in the fourth quarter of 2017, the company recorded a charge of approximately $800,000, related to the one-time tax payment, resulting from the deemed repatriation of our cumulative foreign earnings. The $800,000 will be paid over eight years, as permitted under the law, with no interest and such payment will be weighted to the later part of that eight year period. Together, the charge has increased our 2017 effective tax rate by 15 percentage points. However, for 2017, it is important and worth noting that our cash taxes paid were $5 million versus $19.1 million paid in 2016. GAAP net income in the quarter was $2.1 million or $0.06 per diluted share. Adjusted net income was $10.6 million or $0.30 per diluted share for the fourth quarter of 2017. Overall, our revenue growth in the fourth quarter, along with increased operating expenses, translated into adjusted EBITDA of $23.3 million, which compares to adjusted EBITDA of $25.9 million, in the same period a year-ago. Moving to cash flows and the balance sheet, the fourth quarter was another strong period as we generated $36.5 million of cash from operations. Free cash flow which includes cash outflows for capital expenditures, and content purchases was $18.7 million. At the end of 2017, we had approximately $250 million of cash and short-term liquid investments. Total deferred revenue grew 29% year-over-year to $157.9 million at the end of 2017, of which approximately 39% related to our e-commerce business and 55% to our enterprise business, with 7% related to other business. Effective January 1, 2018, as a result of our adoption of the new revenue recognition rules required by the SEC, we expect to reduction in our deferred revenue balance, by approximately $11 million. The offset of which will be to retained earnings net of tax. So, in other words that will not flow through the P&L, it will go straight from deferred revenue into retained earnings. Turning to 2018, we remain encouraged by the momentum across our business. We recently entered into two agreements, as Jon mentioned earlier, first we entered into an agreement to sell our Webdam business for $49.1 million and in the first quarter of 2018 we anticipate recording a gain on the sale of Webdam, which is being finalized now. And second as Jon noted and was announced earlier this morning, we made an investment in our exclusive distributor in China Zcool to further expand our international reach in the Greater China region. Please note that excluding Webdam’s revenues from 2017 our full year revenue would have been $541 million, which represents 12% growth over 2016. Our financial guidance for 2018 excludes Webdam and is fully detailed in today’s earnings press release. We expect 2018 revenue of between $625 million and $635 million, representing growth of between 15.5% and 17.4% versus 2017. We expect adjusted EBITDA of between $105 million and a $110 million, representing growth of between 19% and 25%. This adjusted EBITDA guidance excludes the gain we will recognize on the sale of Webdam in Q1 of this year. We appreciate your time today and now Jon and I will be happy to answer any questions you may have, operator can you please prompt the participants for questions.
Operator: Thank you, sir. [Operator Instructions] Our first question comes from Brian Fitzgerald with Jeffries. Your line is now open.
Brian Fitzgerald: Thanks, guys. With respect to the 2018 guidance any color you can provide on the anticipated contribution from Shutterstock Custom on the outlook? And then as we think about the mix between e-commerce and enterprise, enterprise growing from 18% to 34% now, how do you see enterprise ramping through 2018? And then maybe where that can get to -- where do you expect that to get to longer term? Thanks.
Steven Berns: So as it relates to the Shutterstock Custom contribution, we don’t breakout the individual products within each of the e-commerce and enterprise. What I will say is that Custom is an important part of the overall portfolio of products and services that we offer to our enterprise clients. And we believe that it’s not just important as a product by itself, but important as a portfolio that can be offered to multinational customers as well as customers in single countries to serve the content needs that they have for their marketing programs. As it relates to enterprise and e-commerce, just if you can repeat the question, I mean, you’re talking about the growth in enterprise from 18% to 34%.
Brian Fitzgerald: Yes, we like that it’s grown from 18% of the business in 2014 to 34% now, maybe how should we see that trajectory continue in the future. What do you think enterprise as a portion of your mix can get to longer term?
Steven Berns: Right, so when we think about kind of where we’ve been successful in the enterprise space, we have not fully penetrated in any way shape or form, most of the countries in which our products are offered. So we are in 21 languages where we’re not strong, we don’t have our fair share of wallet in many of those markets. And remember when we talk about enterprise we’re also talking about our SMB product. And so it’s not just large multinational businesses, but it’s also those companies that might have a team of people that could be working -- it could be a multinational company, but also working in potentially smaller environments, but still good sized businesses. So we see all of the regions and the countries in those regions as opportunities once again despite the size. As it relates to the -- which will go up faster, obviously enterprise is growing faster than e-commerce now. And we’re not trying to force those ratios into a certain level, what we’re trying to do is serve the customer needs. And we’ve adapted and launched products that meet those needs as we go through it. So we don’t have - it’s not like the just called the old days where companies would try to target X percent within a product. We focus on the customer work back into what’s going to make the most sense for them. And thus far like you say we’ve seen this great growth in enterprise, but we don’t see anything slowing that down.
Brian Fitzgerald: Got it. Thanks, Steve.
Operator: Thank you. Our next question comes from Youssef Squali with SunTrust. Your line is now open.
Youssef Squali: Yes, good morning. Thank you for taking the questions. A couple if I may, first, can you speak a little more about the marketing efficiency in the model maybe the market efficiency within enterprise versus e-commerce, growth is certainly impressive, we saw a reflection point this quarter, which is great, but it’s certainly coming at a much lower margin. On a related topic, anything to call out in both the sales and marketing product and development line that’s maybe one time in nature, over the last several quarters you’ve called out some consulting work we thought, we’re under the impression that most of these consulting works were now behind us, but I think you’ve mentioned consulting a couple of times in your prepared remarks. And then I have follow-up. Thank you.
Steven Berns: Sure. So, first is relates to marketing efficiency, I think, a few things to know, one is that, our overall cost for acquiring customers, we’ve become much more efficient in how we’re going at the customers, our efforts in terms of localization, we’re certainly not where we expect to be as we go forward, but we’ve made significant strides in the marketing arena as it relates to SEM, as it relates to content marketing, as it relates to other areas. With regard to the costs, we’ve talked about pressure on our costs related to a number of different areas, including our infrastructure move to AWS and having about 150 basis points of margin pressure on that, which we expect we’ll be reducing throughout 2018, and we’ve talked about that. So, there has been a number of projects as we move to a hybrid cloud environment there has been other consulting areas, where some of which shows up in capitalized labour, but some portion of that is making its way just through the P&L, once again. So, we’re very focused, we don’t think, as you know, the margins that we’re producing are indicative of the long-term strength of the business, and we’re focused on improving those as our 2018 guidance implies. There’s nothing else I would say about our sales and marketing efforts, it’s obviously a dynamic market and we continue to look for the best and most optimal way of attracting and retaining customers.
Youssef Squali: And same thing from product development and the one-time thing to call out?
Steven Berns: No, I wouldn’t call out any one-time thing. Clearly, we’re focused as you’ll note from Jon’s comments, and I think the cadence of what we’ve been doing in the editorial space, our inclusion of Custom, where we’ve been on other features and functionality on our e-commerce and traditional enterprise offerings or our launch of the new team experience product, which enables greater collaboration and functionality for teams. I think all of those are indicative of the product efforts that our engineering and product focus have put forth.
Youssef Squali: Thank you, that’s helpful. And then just quickly, was there -- what was the contribution from Flashstock this quarter, if you can, just to get some organic growth numbers in there. And then, Jon, maybe you can touch a little bit about the Webdam sales, why do it now, we were under the impression initially, when you first made the acquisition that that asset was important to your transformation from a marketplace to a platform, maybe you can just help us kind of think through the puts and takes of that decision? Thank you.
Steven Berns: So, on the custom contribution first, I’d say, once again, we don’t talk specifically about the contribution of each of the specific products. What I’d say is that, for 2017 consistent with the comments that we made at the time of the acquisition, Shutterstock Custom was not material contributor to either top-line or any impact -- or any material impact on EBITDA.
Jonathan Oringer : On Webdam, so back in 2014 we purchased Webdam to try to work our way into enterprise workflow at the time our enterprise revenue was pretty small. And we were growing our way into that business. As we grew into that business, we realized that the Webdam customer is pretty distinct from the Shutterstock enterprise customer. So, overtime, we looked for the right integration points in the workflow and we can find them. We continue to build Webdam, we continue to grow as a standalone business. We referred customers to Webdam, and overtime we built other types of workflow enhancements into our product and into our platform which we continue to do every day now. Why do it now? The opportunity came up. We had some inbound interest and we took the conversation and it happened. So if it didn’t happen it would have been fine also we would’ve continued to grow it.
Steven Berns: I think just to add to Jon’s comments for a second, as Jon said at the time that Webdam was acquired there wasn’t a workflow effort on our core products. So it wasn’t as if we were building the editor tool, it wasn’t as if we were building the collaboration capabilities and as time moved on those were being tightly integrated into our offering. So the workflow aspects that we initially thought we would get from the Webdam acquisition, while important to customers just looking for digital asset management, we saw that the buyer of digital asset management services tends to be very different inside an organization than the buyer or end user of Shutterstock’s services and workflow tools. So it’s really evolved and I think it made sense for us to once again take the call and we’re pleased both for Shutterstock shareholders as well as for Webdam and its new partner and owner Bynder. So we think it’s a good transaction for all involved.
Youssef Squali: Great, that’s helpful. Thank you.
Operator: Thank you. Our next question comes from Lloyd Walmsley with Deutsche Bank. Your line is now open.
Lloyd Walmsley: Thanks. Just wondering you guys have clearly been investing a lot in the re-platforming, which has driven capitalized R&D and CapEx up over the last call it two years. The guidance for $48 million looks like it’s down slightly, but it’s still pretty elevated relative to where you were back in say 2015. Should we expect that to continue to trend down after 2018 as you just wind down some of the investment or should we expect it to kind of stay at these levels? And then a second one, if I can, when you look at the Custom business can you just give us a sense for how much of the growth you’re seeing there is plugging the acquisition into Shutterstock and leveraging the Shutterstock customer base versus perhaps the business operating on its own that you acquired. And I guess just at a higher level, do you feel like it’s performing at a much better level inside Shutterstock than it was as a standalone? Thanks.
Steven Berns: So as it relates to -- thanks for the question, Lloyd. So as it relates to investment, I think it’s important to know how do we measure ourselves and it’s not as if we look and think of something as capitalized labor and therefore it’s somehow is not meaningful to us. We look at our performance as a function of the cash flows generated off of EBITDA and the business, the revenues generated, the expenses we have and whether those expenses are then on the balance sheet in the form of capitalized labor or it’s in the form of taxes paid or it’s in the form of other deductions. We’re focused on that free cash flow generation off of revenues. So to know, first and most importantly is that we are completely focused on the dollars in and the dollars out. As it relates to the capitalization of labor, we’re not giving guidance beyond 2018 other than to say that we’re very focused on making sure that we are improving both EBITDA margins, as well as our free cash flow margins as we go forward. And that obviously includes both revenue increases, but also making sure that we have the proper level of investment associated with that revenue generation. So we certainly are focused on we have zero based process, we’re not looking at like what we did last year. We look at what makes sense to do and we expect as we become more efficient with our engineering resources that we will be able to once again which we’re doing in 2018 reducing external labor materially, as well as being more efficient in our use of our internal resources. I’ll flip it Jon in one second on the Custom business, but what I wanted to say about the Custom business is when we think about acquisitions and this is I think important to think in the context to your question. We think about our core capabilities and when we add something to that as we added Premium B in the music side, as we added Rex in the editorial side and as we add Custom in the offering primarily at this point to enterprises. We think of those as expanding our core and not as if they are somehow independent of the core of the business. And so growth attracts new customers to the Shutterstock platform the addition of Custom, as well as it attracts Shutterstock to customers of Custom. And given that there are customers who we’re seeing is a need by specifically right now one multinational looking at us very early in the acquisition after Custom and saying hey I want to look at all my content needs across stock video, Custom and see how we can work collaboratively to solve their need. So I think it presents opportunities that otherwise wouldn’t be there, but it’s not two separate paths running in parallel, but one single path serving customer needs.
Jonathan Oringer : Yes, I mean, you answered the question but I would just add that Custom is really clean integration for us. We changed the name on day one basically. We started the integration that first week and we today have one sales team that’s out selling all of our products on the enterprise side. It’s going to take some time we just do the acquisition this past summer. So the company is -- the product is growing and we expect that we’ll be able to accelerate that growth with our sales team now, which is a lot bigger than what Flashstock had before as Shutterstock Custom.
Lloyd Walmsley: Thanks.
Operator: Thank you. Our next question comes from Masumi Nishida with Citigroup. Your line is now open.
Masumi Nishida: Hi, thanks for taking my question. My question is for your fiscal year 2018 guidance revenue is up 16%, 17%, can you please provide more color on what is driving it in terms of volume and pricing? And my second question is on pricing for image, can you just please help us understand how you’ve been able to increase pricing year-on-year, quarter-on-quarter? That’s my two questions. Thanks.
Steven Berns: So as it relates to volume and price, clearly we look at a mix of product to serve customer needs. And so we look for those offerings and price them accordingly so that it both attracts our customers retain for the customers, but also provides a share return to our -- a fair return to our contributors. And we’re focused on making sure that we continue to attract the highest quality content on a global basis and make that available to customers and that’s what creates the network effect that has enabled Shutterstock to grow to its current levels. And so it’s not a -- we’re not trying to make a single choice for customers. We’re trying to provide them sufficient choice and still have something that obviously makes economic sense. As it relates to the pricing is -- I think you might be referring to the increase in price per download and that relates primarily to the changing subscriptions that we’ve offered. We’ve had new product offerings of small subs, which have a higher price per download than our larger subs did. And the growth in absolute customers of those smaller subs has been very good. And so that has increased -- has been a contributor to the increase in the price per download. In addition to the fact that our product mix, music and video, editorial often have prices that are higher and so those can have an impact. And obviously in our enterprise business that’s a higher price as well. So it’s product mix, but it’s also the offerings within our e-commerce subscription model.
Masumi Nishida: Got it, thank you. That’s helpful.
Operator: And that does conclude our Q&A session for today. I would now like to turn the call back to Mr. Steven Berns, Chief Financial Officer and Chief Operating Officer for any further remarks.
Steven Berns: Thanks very much. We appreciate everybody’s participation today and look forward to speaking with you soon. Thank you.
Operator: Ladies and gentlemen thank you for your participation in today’s conference. This concludes the program you may all disconnect. Everyone have a great day.